Operator: Good morning, ladies and gentlemen, and thank you for standing by. Today's call is being recorded. I would now like to turn the call over to Beverly Reyes, Vice President, Securities & Corporate Governance Counsel of Liberty Latin America. Please go ahead.
Beverly Reyes: Good morning, and welcome to Liberty Latin America's Third Quarter 2022 Investor Call. At this time, all participants are in listen-only mode. Today's formal presentation materials can be found under the Investors section of Liberty Latin America's Web site at www.lla.com. Following today's formal presentation, instructions will be given for a question-and-answer session. As a reminder, this call is being recorded and will be available under the Investors section of our Web site. Today's remarks may include forward-looking statements, including the company's expectations with respect to its outlook and future growth prospects and other information and statements that are not historical facts. Actual results may differ materially from those expressed or implied by these statements. For more information, please refer to the risk factors discussed in Liberty Latin America's most recently filed annual report on Form 10-K and the quarterly report on Form 10-Q most recently filed with the SEC, along with the associated press release. Liberty Latin America disclaims any obligation to update any forward-looking statements or information to reflect any change in its expectations or in the conditions on which any such statement or information is based. In addition, on this call, we will refer to certain non-GAAP financial measures, which are reconciled to the most comparable GAAP financial measures, which can be found in the appendices to this presentation, which is accessible under the Investors section of our Web site. I would now like to turn the call over to our CEO, Mr. Balan Nair.
Balan Nair: Thank you, Beverly, and welcome, everybody to Liberty Latin America's third quarter results presentation. I'll begin with our group highlights and an overview of our operating results. Chris Noyes, our CFO, will then follow with a review of the company's financial performance. After that, we'll get straight to your questions. As always, I'm joined by my executive team from across the region, and I will invite them to contribute as needed during the Q&A following our prepared remarks. As a point of housekeeping, we will both be working from slides, which you can find on our Web site at www.lla.com. Starting on Slide 4 and our highlights for the quarter. The Group reported revenue of $1.2 billion in Q3. Without VTR which was still consolidated in the period, our revenue would have been $1.1 billion and up by 3% on a rebased basis, driven by top line growth across most broad reporting segments, particularly Liberty Costa Rica, and our Cable & Wireless Caribbean businesses. Our internet and mobile postpaid subscriber bases have grown by over 400,000 over the past 12 months, and by 80,000 in the third quarter. All markets have significant penetration opportunities, which will support further subscriber growth. This is a principal operational focus and driver of our financial performance. The ARPU and margins for postpaid subscribers and a fixed RGU have very similar characteristics. On October 6, we closed our joint venture with Claro, Chile to create the 50-50 own Claro VTR. We now have a new management team who are working to deliver significant synergies. We are optimistic with the future of Chile. Our combination will start the consolidation and rationalization of this market. Chile is an incredible country. Our new Claro VTR leadership is putting a growth plan together for our review in the near future. Finally, we continued our buyback activity and repurchase over $150 million of stock up to the end of Q3. This reflects our view that the most compelling capital returns are in our own company. The bar in our capital allocation for any other inorganic activity is extremely high. Turning to Slide 5. High speed and reliable internet connectivity is the foundation of our fixed service proposition. And here we show our broadband adds by market. Starting with Cable & Wireless in the upper left of the slide, where we continue to build momentum following a slow start to the year. Q3 performance was once again driven by Jamaica where we added 4,000 in RGUs in line with the prior quarter. However, there was also a stronger contribution from other markets in CWC, sales effort and integrated converged offerings gain traction. Moving to Liberty Puerto Rico in the center of the slide, you can see from the chart that we've delivered steady growth here for a number of quarters and discontinued during Q3. In fact, we delivered stronger performance driven by the strength of our network and back-to-school demand, despite the impact of Hurricane Fiona at the end of the quarter. On the furthest right side of the top row, Costa Rica had another positive quarter. The lower third quarter additions were driven by some temporary changes to our TV channel lineup, which has since been reversed, and we anticipate continuing to deliver healthy adds in future periods. Moving to the lower left, and C&W Panama where we delivered an improved number of internet adds sequentially. We continue to see an opportunity to increase penetration across our homes passed in Panama from the 25% level we have today. Finally, VTR continued to be challenged. But as mentioned, we are very optimistic regarding the potential for recovery through operational improvements and some market repair. Overall, the Group continued to deliver broadband adds. And as this chart in the lower right shows that these are particularly robust, if you remove the impact of VTR, which will no longer be consolidated in LLA's results from Q4 this year onwards. Moving to Slide 6, and our mobile performance. We have highlighted postpaid adds as this is a driver of growth in recurring revenue, which is our focus. As indicated before, the ARPU and margin for postpaid serves as similar to fixed RGUs. One of the drivers for the high margins is that we typically don't provide significant handset subsidies outside of Puerto Rico. In addition, the postpaid subs gives us better visibility to who our customers are. Starting in the top left of the slide and C&W. Additions in Q3 would double the prior year amount and maintain a strong momentum sequentially. Jamaica was the largest contributor within C&W with 10,000 adds, which was its best ever quarterly performance, how FMC plants are working. Moving to Puerto Rico. We continue to add subscribers in the quarter. However, we were impacted by retail disruption related to hurricane Fiona. As we'll cover later in the section, our network was the most resilient during that period, we should bode well for future performance. Next to the right of the slide in Costa Rica, which is our largest operation by total mobile subscribers. Our net postpaid adds were consistent sequentially, and double the prior period as we added 31,000 customers in the quarter. On the bottom left of the slide, we present Panama's performance. Additions was similar to the prior period, but lower sequentially as we change our commission structure and also experience increased churn. Lastly, in Chile, our adds were again driven by our competitively priced office. Overall, we continue to deliver postpaid subscriber growth across all our reporting segments, and the robust performance in the quarter. Next to Slide 7. Our B2B operations. Starting on the left of the slide and our group performance. Here we show that on a rebased basis, we grew revenue by 1% in the quarter, which represents 30 year-over-year improvement. In the middle of the slide, we split the B2B revenue by reporting segments to provide an overview of where revenue is generated, and provide some color to drivers for each. C&W communications was the largest B2B segment in Q3, generating approximately 36% of our revenue. This segment contains some of our most mature B2B businesses. However, we are driving growth by leveraging our full service capabilities and delivering innovative solutions. Next, we have C&W Networks & LatAm, which we have separated into its own segments for the first time this quarter. We thought it would be helpful to show some additional detail on the next slide, but as you can see here, it is a significant part of the Group, generating just under 30% of our B2B revenue. C&W Panama is the third largest B2B segment generating 17% of our Q3 revenue. The strategy here is similar to the C&W Caribbean business, in that we are looking to leverage our extensive full service network and product capabilities as the only one stop shop for technology solutions in Panama. Liberty Puerto Rico is our fourth largest B2B operations contributing 14% of Q3 revenue. This is predominantly comprised of the AT&T operations that we acquired. Looking forward, we intend to leverage our combined propositions to drive growth as we integrate the businesses. Finally, we are very much a challenge in Costa Rica and now have strong growth opportunities as a full service fixed and mobile operator. In Chile, we should benefit from the combined product capabilities of Claro VTR. Turning to Slide 8. As we covered last quarter, we have completed our strategic review of the C&W Networks and LatAm operations. Due to market conditions, we have put on hold any inorganic activity. Instead, we are focused on investing and growing this business organically ourselves. In line with this ambition, we have installed new leadership and created a separate reporting segment for which we provide an overview on the slide. On the left hand side, you can see our extensive subsea footprint as well as our network's unique attributes. This is a leading and differentiated business which has tremendous resilience and extensive point of presence. We intend to add additional routes and increase resiliency. This will expand our footprint and open new opportunities. On the right of the slide, we have pulled out a couple of the financial highlights we see in this segment. Firstly, it is a predominantly U.S dollar business through our subsea operations. The non-dollar revenue primarily relates to our B2B operations in Colombia. Lastly, but perhaps more importantly, the cash generation of this business is very strong. As you can see in the lower right of the slide, this segment generates close to 50% of operating free cash flow margins, driven by high adjusted OIBDA conversion and low CapEx intensity. This is a tremendous business for a number of reasons and we look forward to making it even better. Turning to Slide 9. We thought it would be helpful to provide a more detailed update on our largest single market, Puerto Rico. Starting with our commercial momentum. As we saw in the prior slides, this continues to be strong, with network strength underpinning our ability to add subscribers, both in fixed and mobile. We continue to invest in the network resulting in speed increases, better coverage and high resiliency in both fixed and mobile. Just as a reminder, we've been awarded FCC Uniendo funding union funding to support these improvements. In fixed, we have also added 25,000 homes so far this year, which provides an additional growth driver. Our pricing levels remain competitive and subscriber trends show that we are providing value for our customers. In mobile, we continue to grow in postpaid by adding 69,000 subs year-to-date, and we also see a significant opportunity in prepaid. Prepaid was less of a focus for AT&T historically, and we have started trialing new propositions to grow this part of the business. Moving to the integration. We remain on track to complete the migration of customers and services to our platforms by the end of next year. This will be fantastic from a synergy perspective, but also commercially, as we will have more freedom to create and deliver our own bespoke products to cater for the needs of people in Puerto Rico. We have begun trials of our new IT stack and our new 5G core network prepaid customers. Next, I wanted to cover the impact of Hurricane Fiona, which hit the island in September. The storm caused some damage to the islands, but nothing like the scale we saw through Hurricane Maria. The impact was felt more through power outages that impacts on our network. That said, we supported our customers through these difficult times with credits to the extent that they will without power and did not have broadband or TV service. This focus on our customers is key to our high NPS in Puerto Rico. Our decision on the credits and costs we incurred to repair the network and fuel for our generators will have a cash flow impact of about $20 million this year. The great news was that our mobile network demonstrated its resilience. Thanks to investments in underground fiber as well as standby generators in more than 85% of cell sites. Network coverage remained close to 100% with utilization increasing more than 20%. In fact, the network health so well that we opened it up to other carriers during the storm to help their customers. This has improved our reputation in the market and should support adds in the coming months. Lastly, on the slide, our bill in the USVI is now underway and also partly funded by the FCC. We will have the only fiber network with full coverage across the islands and are excited by the growth we can drive there. Finally, to Slide 10, where we wanted to highlight the progress we are making against key strategic objectives and how this drives additional stakeholder value. Starting with the network and IT pillar, we have been making great progress with our new build and upgrade program. This year alone, excluding Chile, we have built or upgraded approximately 280,000 homes. And since we split off as a separately listed company more than 4 years ago, we have added or upgraded over 1.3 million homes, excluding 1 million homes in Chile. This is a key aspect of our strategy as it underpins our ability to deliver our products and services. As we look ahead, we are committed to transforming our IT platforms and simplifying our numerous systems and processes across the Group. This will drive savings as well as enabling us to better serve our customers. We are also committed to upgrading our fixed network to eliminate all our [indiscernible] plan. We are also building out to expand our footprint. Next to our commercial pillar. The progress we are making should speak for itself with our consistent reported subscriber additions. On the mobile side of the business, our focus on FMC has been paying dividends, particularly as we grow our postpaid base. Including the impact of acquisitions, postpaid subscribers have gone from 14% of the total base at the start of 2018 to 30% at the end of third quarter. We are also working hard to delight our customers and thereby reducing churn in our operations. Looking ahead, we continue to innovate through products and packages with additions to date such as Wi-Fi [ph], Android-based IPTV, B2B products, ESIM and new low-cost handsets. We have also been investing in our digital platforms to support our sales channels. This is a common platform across all of our operations. Lastly, on this slide, the capital allocation. We made another significant stride in early October by closing the JV in Chile. As I mentioned before, we are optimistic about Chile and this joint venture. We have the opportunity to regrow this business and create value over the next few years. Both we and our partner, Claro, are like-minded in that future. We are also a few months into our Panama integration and have been making good progress, starting with back-office integration this year before moving on to combining our brands and stores next year and completion of all processes expected in 2024. We have good visibility on over $150 million of run rate cash synergies from 2024, excluding Chile. And this is a key driver of growth for our business in the coming years. In addition, we have not made any adjustments to our reported OIBDA or free cash flow to remove integration costs. which are a headwind for us in the near-term, totaling over $70 million just this year alone. This results in dissynergies, as mentioned before. We are confident that we will drive significant free cash flow growth and have continued to allocate capital on buying back our stock. It is hard to contemplate any M&A with better risk adjusted returns than the current opportunity to repurchase our own securities. We will continue to evaluate the risk-reward trade-offs for any investments in the same manner, taking into account shareholder returns, dilution considerations and our liquidity profile accordingly. Chris will cover our thoughts on balance sheet management in his section. But in short, we feel comfortable here given our long-dated maturities, the silo debt stack, the hedges we have in place and the natural deleveraging as we grow our EBITDA. With that, I will pass you over to Chris Noyes, our Chief Financial Officer, who will talk you through our financial performance before, we take your questions. Chris?
Christopher Noyes: Thanks, Balan. Let's turn to Slide 12 to kick off the finance section. Three housekeeping items. First, we have separated our Cable & Wireless Caribbean and Network segment into two distinct segments going forward: C&W Caribbean and C&W Networks in LatAm. Second, our acquisition of Claro Panama is included for the full quarter. Third, given the close of the Chilean JV in early October, we will deconsolidate VTR for Q4 and reflect the JV as an equity investment going forward. Today, I will reference some key financial numbers without VTR included. The third quarter was modestly more challenging than we had expected when we reported Q2 in early August in large part because of Hurricane Fiona's impact in Puerto Rico, in particular, through damage to the island's power grid rather than to our infrastructure. Unfortunately, this event did impact our financial and operating results in Q3 and will carry over into Q4. I will highlight those impacts were relevant. Financially, we posted Q3 consolidated revenue of $1.22 billion as compared to $1.20 billion for Q3 2021. Our 2% reported growth was positively impacted by acquisitions and organic growth in Costa Rica and C&W Caribbean offset in part by a significant organic decline in Chile resulting from continued competitive intensity coupled with our aggressive pricing strategy, which we initially launched in late Q1. Additionally, our U.S. dollar reported results were hampered by a negative $32 million net foreign exchange impact as currencies like the Chilean peso, Colombian peso and Costa Rica Cologne, all depreciated against the U.S. dollar year-over-year. In terms of growth, we delivered flat rebased revenue performance in Q3. Excluding VTR for both periods, we delivered 3% rebased revenue growth as compared to Q3 2021. Importantly, without VTR, our mix shifts to around 75% of revenue denominated in U.S dollars or pegged [ph] linked to U.S dollars, which is the key differentiator for us versus other peers in the region. Turning to the bottom of the slide, we delivered adjusted OIBDA of $415 million, which reflects a 6% reported and rebased decline to our results for Q3 2021. Excluding VTR for both Q3 periods, our rebased performance improves to a 1% decline on adjusted OIBDA of $384 million dollars. To put our results in perspective, if we were to simply adjust our results for the estimated hurricane Fiona adjusted OIBDA adverse impact of $12 million and incremental immigration expenses year-over-year of $5 million, our rebased adjusted OIBDA growth would have been about 3% for LLA. Looking towards Q4, which tends to be seasonally strong for us, we would expect to see an expansion in adjusted OIBDA from Q3 levels. Slide 13 highlights our financial results by segment for Q3, starting left to right with C&W Caribbean. We posted revenue of $359 million for rebased growth of 3% and $133 million of adjusted OIBDA for rebased growth of 11%. Each of our three products, residential mobile, B2B, residential fixed, experienced single-digit rebased top line growth over Q3 2021. And our largest operation, Jamaica, continues to fuel the segment's overall result. C&W Caribbean was LLA's best segment performer in Q3 with respect to overall adjusted OIBDA growth, achieving double-digit rebased expansion as compared to last year. The operating team's direct to indirect cost control combined with revenue growth drove margins up approximately 250 basis points in the quarter as compared to Q3 2021. Next to Cable & Wireless Panama. Total revenue was $173 million, producing rebased growth of 2% and adjusted OIBDA was $47 million, generating a rebased decline of 5%. CWP's rebased revenue growth was driven by 9% residential fixed and 4% B2B growth, while residential mobile declined by 2% as postpaid service revenue growth was more than offset by a prepaid decline. The rebased adjusted OIBDA decline in the quarter resulted from a combination of higher B2B equipment, bad debt and integration costs. With that being said, we are anticipating a strong fourth quarter in adjusted OIBDA as we typically drive B2B projects in the last quarter of the year. Finishing on the far right, C&W Networks in Latin America reported revenue of $103 million and adjusted OIBDA of $59 million, reflecting modest year-over-year declines of 1% and 4%, respectively. The driver of the year-over-year adjusted OIBDA margin compression is due principally to higher direct costs associated with equipment sales across our B2B services. However, the adjusted OIBDA margin remains over 50%. For this segment, quarterly results can be lumpy. So best to look at the business on a full year basis. For example, year-to-date rebased revenue and adjusted OIBDA grew 4% and 3%, respectively. And we would expect to see a step up in reported figures in Q4. Moving to the bottom left of the slide, Liberty Puerto Rico delivered revenue of $367 million in Q3, which reflects 2% rebased growth and produced adjusted OIBDA of $132 million resulting in a rebased decline of 6%. Overall, the largest development in the quarter was Hurricane Fiona in the latter half of September, which impacted our financial and operating results in Q3 and which will have a residual impact into Q4. Our revenue was impacted by $8 million through the granting of customer credits and adjusted OIBDA was reduced by $12 million due to the credits and incremental operating costs to address the situation. Other elements contributing to our revenue expansion include higher roaming equipment sales in residential mobile and growth from our newly acquired asset in the U.S. Virgin Islands, driven in large part by the recognition of the FCC funds. On the cost side, besides the increased cost from Hurricane Fiona, we incurred increased equipment costs due to higher mobile handset volumes additional TSA-related charges, higher labor costs in part due to staffing in advance of the TSA transition and increased integration costs. We expect to deliver improved financial performance in Q4. However, depending upon our success in mobile, we could experience pressure on our margins for mobile handset costs. Next to Costa Rica. We posted Q3 revenue of $109 million and $33 million adjusted OIBDA, reflecting strong rebased revenue growth of 7% and a modest adjusted OIBDA rebased decrease of 1%. Subscriber growth continues to be the primary driver of revenue in Costa Rica. Adjusted OIBDA rebased growth was compressed year-over-year largely as a result of $2 million of incremental integration expenses and $2 million of nonfunctional currency impact as the cologne depreciated by 6% on average year-over-year. Finally, VTR. We generated $130 million of revenue and $31 million of adjusted OIBDA reflecting rebased declines of 19% and 42%, respectively, as both heightened competitive intensity in 2022 and strategic decisions to better align our propositions with those with the broader market have resulted in compression across our financial metrics. Our reported amounts in U.S. dollars reflected depreciation of the Chilean peso and U.S. dollar of 10% as compared to Q2 2022 and 20% as compared to Q3 2021. Importantly, repricing a large proportion of our base by year-end 2022 and better aligning with Claro's fixed pricing is a necessary step to establishing a stronger base from which to grow the overall business in the coming years. Turning to our balance sheet on Slide 14. The figures on this slide exclude VTR, which was classified as an asset held-for-sale on our September 30 balance sheet. At the end of Q3, we had $8 billion of total debt, approximately $800 million of cash and $1 billion of availability under our revolving credit lines. Gross and net leverage is at 4.9x and 4.5x, respectively. Our consolidated cash balance reduced from Q2, in large part due to the funding of the Claro Panama acquisition on July 1. Our largely termed out and size of capital structure remains an important asset for us. We have limited maturities in the next 5 years. And as you would expect, we will continue to actively address the shorter dated maturities in a manner consistent with our financing principles. We maintain ample available capacity in our Puerto Rico and Cable & Wireless credit lines to address any LLA maturities should the capital markets remain constrained for an extended period. Through September 30, we have repurchased over $150 million for our equity this year. We have bought back roughly 17 million shares in 2022. Our belief in our long-range plan, including the realization of synergies, coupled with the underlying value of our assets, including our networks and Puerto Rican businesses reinforces our conviction that repurchasing our shares at what we see as dislocated value makes solid financial sense. With respect to our consolidated 2022 financial guidance targets, we remain on track to deliver 18% P&E as a percent of revenue and are revising our expected adjusted FCF for 2022 to $200 million to account for an estimated $20 million cash flow impact from Hurricane Fiona, as previously voiced over. As highlighted in prior calls, our adjusted free cash flow generation will be substantially weighted to Q4, reflecting our seasonally strong financial performance and customary working capital trends. The primary risk to our free cash flow that we called out on the Q2 call, and that still remains relates to the timing of large customer payments from the Panamanian government and certain B2B accounts in C&W that we expect to collect before year-end. As Balan highlighted, we now have strengthened each of our operations through M&A activity, completing the Chilean JV with American Mobile in October. It has been a long, multiyear journey to consolidate markets and filling gaps in our product suite. Primarily a lack of owned mobile in our core fixed businesses, such that we now can offer our residential and B2B customers, both broadband and mobile services throughout our largest markets. We are very focused on integration as we look to migrate to our own systems and overall reduced reliance on the sellers of the assets in Puerto Rico, Costa Rica and Panama. Successful execution over the next 12 to 24 months should result in substantial OIBDA and free cash flow expansion. Additionally, our JV in Chile is moving forward, and as Balan touched upon, we are excited about the growth prospects in this business as we bring together two complementary businesses. Patience is required as it will take some time to realize synergies and change the momentum in the business. But together with our partner and our newly appointed joint management team as well as the further rationalization we are seeing in the market. the value opportunity is sizable. Our third quarter was impacted by a combination of factors that I alluded to, including the impact of Hurricane Fiona and integration costs. Q4 tends to be seasonally strong, and we are expecting improved financial performance and substantial free cash flow generation in the quarter. Our capital allocation strategy remains in place. Importantly, we are quite content with our existing footprint and can focus our investments within our businesses and can look to arbitrage value opportunities within our debt and equity complex. We look forward to updating the market in February 2023 when we report our year-end results and more specifically, our plans for the new year, which are taking shape as we speak. With that, operator, please open the line for questions.
Operator: [Operator Instructions] Our first question today comes from Michael Rollins of Citi. Michael, your line is open.
Michael Rollins: Well, thanks and good morning. Curious if -- when we take a step back on a consolidated basis for the money that you're spending on integration, the opportunity to drive the synergy targets that you've outlined and to consider any reinvestments that you may make to accelerate marketing or sales within the operations, can you take us through like what the net impact of this merger integration is in terms of the potential drag on EBITDA in 2022? And what that turns into over a couple of year period in terms of the net benefit that actually should flow through to the EBITDA line? Thanks.
Balan Nair: Sure. Good morning, Michael. So when we do these acquisitions, the dissynergies in the first, call to usually between 2, 2.5 years significant as you integrate systems. But remember, these are one-time costs, and you annualize the savings over a long period, so the returns are quite significant. And the way we look at it is the synergies -- dissynergies come from, of course, the systems, the IT systems. You want to consolidate that to give a great customer experience, branding, stores, that you invest in. You invest usually in the first couple of weeks, we launched massive programs either through rebranding or through new propositions. And we've kind of -- I think for this year, we are going to have some headwinds in the numbers that we've been entering about, it's about in the $70 million some range. And that eventually goes down. And by 2024, the bulk of it disappears. And then you see the synergies come in, the synergies, of course, when we look at synergies, it's kind of -- it's a net number. So there will be some trailing costs, but the synergies that we put out, that would be a net number in 2024.
Michael Rollins: Thanks.
Operator: Thank you for your question. Our next telephone question today comes from Kevin Roe of Roe Equity Research. Kevin, please put on your question.
Kevin Roe: Thank you. Good morning. Balan, the CWC properties, they're demonstrating to be very resilient in both fixed and postpaid mobile. You mentioned earlier fixed mobile convergence as being a driver. Could you drill down a little bit more on the primary drivers there on CWC's top line strength you're still edging out the network. How important is that to the growth that we are seeing versus the core? Are there market share gains going on here? And how are things trending into the fourth quarter? Do you expect this top line growth for CWC to continue in Q4? Thanks.
Balan Nair: Sure. Hi, Kevin. So CWC, it's kind of unique. We've been investing in the last couple of years in CWC on a number of fronts. And it's bearing fruit, certainly it's not bear bad fruit this year. So a big driver of the revenue growth is also the analyzation of a lot of our net adds from last year. So our opening balance sheet is very good, and that drives a lot of the value creation this year. There are a couple of other inflection points, of course, in CWC. One, we kind of indicated, but did not put a clear date, we will do this at the end of this year, early next year when we announce our full year, we will be more detailed around the work -- sorry, the construction that we are doing in CWC. So essentially the inflection point would be: one, we are going to take away almost all of the twisted pair copper that in that business. Now remember, CWC is made up for a lot of incumbent businesses with a lot of twisted pair, the all Cable & Wireless network. Essentially, when we're done with this, we would be one of the first telcos that have removed all of the twisted pair. AT&T hasn't done that. Verizon hasn't done that. PTS done that. Deutsche Telekom hasn't done that. NTT hasn't done that. So will -- this is one that we've been very disciplined, we've been working on it over multiple years, and we are probably coming towards the end here in the next 18, 24 months. And so that's an inflection point. Second one, of course, is our focus, given all these builds, our broadband speeds have increased quite dramatically. And our FMC ties both our broadband and our mobile product. And you can see from the numbers, it is working. And we anticipate our broadband growth next year to be as good, if not slightly even better than this year. And clearly, our postpaid is on a good trajectory. So you have these two very high margin products coming up. And thirdly, we are not giving out much handsets in CWC. We budget for a certain amount, we are very careful at monitoring it. And -- but the handset subsidy in CWC are significantly lower than the United States or even Puerto Rico as an example. So there's a lot of value creation still coming in CWC. And then finally, I should probably add one last one, which is B2B. B2B is another inflection point for us, Inge and her team, she's appointed one person in the back office running CWC strategically and back office as well. And that's another level of growth. It's just quite a significant part of our revenue in that market.
Kevin Roe: Thank you. And is that through -- into Q4 here, are you seeing those CWC positive trends continuing? Did you see that in October and now into November?
Balan Nair: Yes. Yes, we are.
Kevin Roe: Super. All right. Thank you.
Balan Nair: Thanks, Kevin.
Operator: Thank you, Kevin. [Operator Instructions] Our next question today comes from Cesar Medina of Morgan Stanley. Please go ahead, Cesar.
Cesar Medina: Hi. Thanks for taking my question. It's very specific-related to VTR. Are there now that the JV has been approved, et cetera, are there any plans to inject capital on that asset near-term? And if so, any details on that front?
Balan Nair: Hello, Cesar. So the way we do -- well, let me start with this, there is no requirement for [indiscernible] any capital -- its contemplated in any of our agreements in the JV. Having said that, we do all of our capital allocation based on returns. And so when we look at the plans, as I indicated in my opening comments, the management team is presenting -- is going to present to us a nice growth plan. And my team and I will look at it and then we will decide if we want to fund it and compare that against all the other plans that we have in LLA. And that's how we make capital allocation decisions. And it would be no different than what we would do in VTR. Sorry, Chris, do you want to add to that?
Cesar Medina: Yes, thank you so much.
Balan Nair: Thanks, Cesar.
Operator: Thank you for your question. Our last question today comes from Soomit Datta of New Street Research. Soomit, please go ahead. Your line is open.
Soomit Datta: Hi, there. Thanks very much guys. A couple of questions, if I could, please. First of all, on Puerto Rico, just on the wireless business, I think on an underlying basis, the service revenue has been deteriorating there? And I guess that would be a bit of competition coming from [indiscernible] and AMX. Do you mind giving us a sense as to what's happening on the ground? Does that look like a temporary phenomenon? Or is that something we should be looking at as a risk going forward? That's one on Puerto Rico. The other quick thing, please, on Puerto Rico and U.S. merchant items. Just wondering on the funding from the SPC. I mean maybe sort of in the virgin island and Puerto Rico, can you give us a sense as to where that is kind of trending? Is that going to be kind of up or down or sort of stable. It's a reasonably big number. So that would be helpful. Thank you. And then just a final one. Sorry, if I could. Just on the -- you've kind of talked about the Networks business and there's been a kind of slight redefinition of that business. Can you give a sense as to what you're trying to achieve in terms of scale? Obviously, it sounds like you're excited about the possibility to kind of expand the operation. How much bigger can this get? And what kind of kind of capital do you need to deploy to make that happen? Thanks very much.
Balan Nair: Okay. Soomit, hello. Let me answer your questions in the reverse order, and I'll let some of my colleagues to jump in here as well. We will start with the Networks. We've done the strategic review. And over the last few years, we've made the investments in that network, but clearly, what we would like to do going forward is make even more investments in the network based on the returns and the capital allocation decisions as I kind of described earlier with VTR. And we've identified new routes that we want to build that increases resiliency and opens up new markets to it. And we're very specific on it. I did indicate a new management team in here, Ray Collins, who leads our business there and corporate strategy is taken over in this segment, and we've done a deeper review, gone on downhaul visits with all of our employees, he's gone out and visit most of our customers, existing and new customers, and we put together kind of a review you and plan that I am very happy with. And I think it's one that we will probably look to fund the returns on this is going to be very good. And as you -- as I indicated on that business line in that segment, the free cash flow generation is pretty significant from a margin perspective. So we'll continue to make good decisions there. And -- but we are quite bullish on this segment, and we will build new routes, increase resiliency and I would say that to all our customers as well in this segment that we are back. The Mojo is back in this team, the investment is coming in, and we feel good about it. Now moving to the other two questions on U.S. Virgin Islands and Puerto Rico. The numbers are about $85 million and $71 million or so in FCC funding on the fixed business, about $30 million some in the mobile business in Puerto Rico. And these numbers amortized over a 10-year period. The mobile numbers is over a shorter period, and that comes to an end, but we expect to renew that with other funding through the FCC. But on the fixed side, it's about a 10-year, and you already saw some of that being allocated this quarter from USPI into our revenue stream that Chris indicated in his opening remarks, early today. So we feel really good. It's very stable and it funds the upgrades that we've talked about, essentially in USPI, I think I kind of indicated that we're going to go fiber everywhere. And we have not disclosed over the period for competitive reasons. but we are quite bullish on that. And it's going to be great for the citizens of U.S. Virgin Islands. And likewise, in Puerto Rico, we are upgrading speeds, we are upgrading the network, funded through the Uniendo, so we feel really good about that as well. Now on the wireless revenue, the first question you have, it's kind of a little bit of a complicated answer because when you read the headline numbers, it kind of distorts any conclusions you can come to because it's really not made up of just one revenue stream. It's a few revenue streams. So let's walk through that. And then maybe I'll ask Naji to also jump in here. But you can break it down the decline into one, the prepaid business. The prepaid business has dropped year-over-year. I don't know if we disclosed the actual numbers, but it's a drop year-over-year from an RGU standpoint, and that also includes our reseller business when we took over this business from AT&T, a lot of the reseller contracts had to be redone. And really, there's a little focus on the prepaid business. so that drop year-over-year multiplied by the average ARPU on that, probably comes from maybe close to 40% of the decline. And -- but you can see that in this quarter, we started to grow that business again. So it's really a one -- year-over-year and then now we are going to grow that business. The second part of it, which is more interesting is the noncash related revenue drop. And this is really the amortization of the subsidies of our handsets. And this amortization sums up to about maybe 30% some of that delta. So pretty significant part. And then the remaining part is really just mix of our postpaid business that also will get washed through. We continue to grow the postpaid business. And so we feel really good about that. The ARPU differential comes from some of the B2B components of it in mobile that it's just an allocation thing. But fundamentally, Soomit, we feel really good about the mobile business. I saw your note that came out, I don't think there's any concern here about any ARPU destruction or competitive pressure. Of course, we have competition. We welcome it, we drive on it, but this is not irrational competition like Chile, something like that. But we feel really good about it. And I'm going to ask Naji to share his thoughts on the mobile business as well. Naji?
Naji Khoury: Yes. Thanks, Balan. Hello and good morning, Soomit. Yes, I would add just to Balan's comment, the fact that there is definitely growth on our phone postpaid, it's growing in net adds, it's growing in revenue. ARPU is stable. And the difference, I think that Balan was referring to also is driven by having a lot more data devices like tablets, wearables as well as hotspot. And our churn in the market, I have to say, is equal or better than some -- the numbers you see in the mainland on the phone postpaid. So yes, there is competition on the ground, no doubt, but we are holding really well against the competition. And the hurricane actually was quite an interesting event that further highlighted the resiliency of our network, both on the mobile side and the fiber backhaul and we held it through and gross side improved after the hurricane, churn further declined as well. So we are feeling very comfortable going into Q4. And it's -- whatever we promised to our customers, we are delivering it, and that's good. So we will see the turnaround for sure in Q4 and on.
Soomit Datta: That's great color. Thanks. I can maybe follow-up after the call. I didn't quite get the point on the amortization of subsidies of handsets, right? We can kind of regroup on that.
Balan Nair: Sure. We will get you the details and kind of explained it. It's kind of [indiscernible] when we acquired the AT&T business, we reset a lot of the amortization created new amortization. So the delta is a little bit outsized because you don't have trailing revenues to compensate for the amortization. And -- but we can get into the details with you. We anticipate that to probably wash it out in the next year or so.
Soomit Datta: Okay. That’s super. Very clear. Thank you.
Operator: Thank you. And our final question today comes from Diego Aragao of Goldman Sachs. Diego, please go ahead.
Diego Aragao: Yes. Hi, good morning, everyone. Thanks for taking my question. The first one is on VTR, and I'm sorry if I missed something from your opening remarks. Can you just comment a little bit more about the competitive dynamics in Chile considering recent market developments and maybe provide some colors on your gross additions as well as the churn dynamic in the Chilean market. And maybe I would love to get a sense on when do you expect net adds to eventually stabilize in that market. That's the first question -- this is the first question. And the second question is about your investments. Thinking about your guidance for CapEx considering this 18% of CapEx to sales ratio, how much of this is related to your first network maintenance plan? Secondly, fixed network expansion and customer upgrades. And lastly, mobile network rollout. Thank you.
Balan Nair: Okay. Hey, Diego. Let me address the VTR and I will ask Aamir to also jump in on the investment -- the CapEx investments. On the VTR front, the competitive dynamics will continue on for a little bit. There has been consolidation of starting with this. You saw the Intel fiber-to-the-home sale and that went into a wholesale network with KKR. I anticipate there will be other such monetization consolidation as well. We think the broadband adds have stabilized. It's -- there's some minor losses, but it's stabilized. And the reason I say that is a lot of our ARPU, which was a big disconnect in that market have come back to close to the front book pricing. So a lot of our backlog. We think it's close to like a little north of 70% of our ARPU has now moved from a very high back book to close to the front book. And that's the best reset bodes well for future growth. So we've taken the pain. The second question you had on that was RGU declines when the test start. VTR was the leader in voice in that market. And clearly, that is and RGU that will continue to decline as people disconnect their voice circuit. And video has got slight declines as well. So between the two of them, you'll still see RGU declines, but our focus is on broadband. And the broadband product, you'll start to see that coming back to growth soon. And I say this in the context of not so much the competition of networks, but the competition of price. A lot of work of that, Geez we are losing because all these fiber providers. That's not really true. Why we were losing was because there were too many providers not just fiber providers, too many providers. And then secondly, because pricing collapsed there, and they sell them between our back book and what the front book of all these six, seven competitors, six competitors, seven networks there was pretty significant. If you recall, in March, we experimented with just matching crisis in Chile. And when we did that on the broadband front, it was our biggest growth month ever. We sold more than 100,000 RGUs that month. And now clearly, we need to do more of that to match it, but we are going to do that in a very methodical way. So we don't go from 0 to 100% in like 3 months. we are now at 70%, we will continue to get the front book and back book to match and that things should get better. Our team there, led by [indiscernible] is studying it right now. He's coming back to the plan for us in the next few weeks. And then we will look at how we combine our fixed broadband and our mobile product and get that out in the market in a way that is attractive to our customers. But we continue to invest there on fiber, DOCSIS 3.1, 5G, all of that. So that's why we feel really good about that network. On the capital side, our investments, we guided to 18% this year and Chris reiterated our guidance earlier. And I anticipate us being slightly better than that, but we will see fourth quarter is always very lumpy. And we will see how it goes and then we will come out with the new guidance next year as well. And you can see from a -- this is a business that will continue to expand free cash flow. So we are very focused on our CapEx expenditure. And -- but our view on CapEx is invest in the customer and invest in growing our network. So we will continue to invest in increasing the footprint, we will continue to invest in upgrading the network. We will continue to invest in maintenance. We will continue to invest in devices. And Aamir, who joined us from Verizon is on the same page. He has been working really hard this last month on how we allocate the CapEx portion of our capital into the network. Maybe Aamir, if you want to share some of your thoughts on capital -- CapEx allocation.
Aamir Hussain: Well, thank you, Balan. Good morning. I think, Balan, you've captured the essence of how we spend our capital. Our investment around broadband is key to our value proposition, and we continue to do that. So on broadband, our target really is to get as many homes on fiber as possible. And as you had mentioned earlier, on the call, we will hit close to 300,000 plus homes already. We have already hit that, and we are well on our way to complete our target for this year. We've got a three-pronged strategy. Whenever a new home build happens, it's fiber. We continue to invest in HFC, things like DOCSIS 3.1 gets us to our target of north of a gig per customer. And then we will be the first provider, I think, throughout the world who will have an opportunity to get it of all copper in our network by sometime next year. So those three strategies take a fair share of our CapEx investment. And then at the same time, we are investing in our mobile coverage improving our coverage in our markets, investing in IT transformation, investing in things like improving our overall capacity on mobile digital transformation. Those are key fundamentals of our investment thesis, and we continue to make good progress on that.
Balan Nair: Thanks, Aamir.
Diego Aragao: [Indiscernible] very much. This was super helpful. Thank you.
Balan Nair: Thanks, Diego.
Operator: Thank you. That concludes today's question-and-answer session. I'd like to hand the call back to Balan Nair for any additional or closing remarks.
Balan Nair: Thank you, operator, and thanks, everybody, for joining us. Clearly, this quarter was a little choppy and the nature of our business, we remain committed to the guidance that we have for the full year. And we anticipate that when we get to the end of fourth quarter, you can clearly see the delta between third and the full year or year-to-date and the full year, I mean, that's a pretty good gap. And so we anticipate a pretty good fourth quarter and ending with meeting all of our guidances. And so thank you so much for your support, and we will talk to you again in about 90 days.
Operator: Ladies and gentlemen, this concludes Latin -- Liberty Latin America's third quarter 2022 investor call. As a reminder, a replay of the call will be available in the Investor Relations section of Liberty Latin America's Web site at www.lla.com. There you can also find a copy of today's presentation materials. Have a great rest of your day. You may now disconnect from the call.